Operator: Good afternoon, everyone. Welcome to the JAKKS Pacific's Second Quarter 2024 Earnings Conference Call with management, who will review the financial results for the first quarter ended June 30, 2024. JAKKS issued its earnings press release earlier today. The earnings release and presentation slides for today's call are available on the company's website in the Investor Section. On the call this afternoon are Stephen Berman, Chairman and Chief Executive Officer; and John Kimble, Chief Financial Officer. Stephen will first provide an overview of the quarter along with highlights of product lines and current business trends. Then John will provide some additional editorial around JAKKS Pacific's financial and operational results. Mr. Berman will then return with additional comments and some closing remarks prior to opening up the call for questions. Your lines will be placed on mute for the first portion of the call. [Operator Instructions] Before we begin, the company would like to point out that any comments made about JAKKS Pacific's future performance, events or circumstances, including estimates of sales, margins and/or adjusted EBITDA in 2024, as well as any other forward-looking statements concerning 2024 and beyond are subject to Safe Harbor protection under federal securities laws. These statements reflect the company's best judgment based on current market trends and conditions today and are subject to certain risk and uncertainties which could cause actual results to differ materially from those projected in forward-looking statements. For details concerning these and other such risk and uncertainties, you should consult JAKKS' most recent 10-K and 10-Q filings with the SEC, as well as the company's other reports subsequently filed with the SEC from time to time. In addition, today's comments by management will refer to non-GAAP financial measures, such as adjusted EBITDA and adjusted earnings per share. Unless stated otherwise, the most directly comparable GAAP financial metric has been reconciled to the associated non-GAAP financial measure within the company's earnings press release issued today or previously. As a reminder, this conference is being recorded. With that, I'd like to turn the call over to Mr. Stephen Berman.
Stephen Berman: Good afternoon and thank you for joining our call today. We are happy to share our current results after another constructive quarter. We continue to proactively engage retailers and licensors about new ideas to grow our mutual businesses, and we continue to work internally revisiting and refining the way we do business to ensure we are maximizing margins and sales as the increasing complexity of our global business merits. I feel confident that we are doing all the correct things today, and looking toward the future that will both help us achieve our plans for this year, as well as regenerate long-term value as we look ahead to 2025, and even 2026. Our business performed in line with our expectations for the quarter, and although consumer outlook remains a bit unpredictable, we are increasingly confident we will achieve our objectives for the year. As I touch upon later in the call, we have a number of exciting initiatives launching this fall. As we look at the second-half of 2024, this gives us confidence that 2025 has a lot of potentially positive narratives in its earliest stages. As such, we are diligently planning for that and seeding new opportunities. Our total business generated $148.6 million in the second quarter, down 11% from this time last year. That sales level is significantly higher than the $112.4 million we shipped in second quarter of 2021, which is the last year we had a similar content-light first-half. So, although our sales are down, we are not concerned that it's somehow a negative reflection on the health of our core and evergreen businesses. The doll and role-play division delivered $63.6 million in net sales, up 6.6% from $59.7 million despite comparing against the Disney's Little Mermaid release timing last year. The Action Play & Collectibles business generated $36.6 million, down 30.5% from $52.6 million last year, which was a very difficult comparison with The Super Mario Bros. Movie. Our outdoor and seasonal business continued light, delivering $4.4 million versus $5.7 million last year, but we are starting to see some bright spots with new listings and solid sell-throughs at relevant accounts. Our Disguise/Costume business generated $44 million in net sales, down from $49 million last year. As we've said on the last call, we expect this business to be slightly softer than last year globally. Retailers are still trying to calibrate their order levels on a full-year basis post COVID. With $51.2 million sold year-to-date, we are still tracking significantly higher than 2021 when our year-to-date number was $34.8 million. Reviewing the business from a market perspective, our North American business has led the way, shipping $132.1 million in the quarter, a decline of 7.6%. International has been more of a drag. Although also impacted by content comp, some logistic issues in Asia resulted in some sales slipping out of the quarter. As a result, we saw international drop to $16.5 million in the quarter, down 31.1% versus prior year. Our toy and consumer products POS comparisons are ever changing giving the impact of content-driven product last year and this year. Putting those titles aside, some of our product lines outperformed last year, and some are a bit softer. Overall, we would say our business was tracking down a low single digits percentage at retail. Consistent with what you've heard from other sources, we agree that there hasn't been a tremendous amount of excitement in the space for the first-half of the year. And in-store results have tracked similarly. We have not seen any trends in this area, however, that give us any reason for any concern as we move into the second-half and the majority of the new product introductions queue up for their launch during the second-half of this year. On a final note before I pass it over to John, we were excited to learn, this month, that we were named the 2023 Hard Goods Vendor of the Year by Target. As you know, we have a great longstanding relationship with Target, who supports a broad and deep assortment of product lines. We are extremely proud to receive this recognition that stretches beyond the toy aisle to the entire hard goods sector at Target. Congratulations to our team and particularly the people we have based in Minneapolis who partner with Target daily to maximize our business together. Now over to John for some comments and, after, I will come back and talk more about where we are focusing in the second-half and beyond. John?
John Kimble: Thank you, Stephen, and hi, everybody. Q2 was a pleasantly uneventful quarter when it comes to talking about results even if there's been a lot of activity happening behind the scenes. Stephen said top and bottom line results were in line with our expectations, and we seem to be on track for another very productive year. We have a wide range of new product introductions coming to market over the next six months, and we're excited for consumers to engage with them. As we've covered sales extensively, I'll move into margin. Gross margin was up 130 basis points in the quarter primarily due to lower royalty expense. The reduction is essentially driven by the mix of products sold in the quarter, the contributions of the various IP, and then also some impact of selling method. With gross margin at 32.0%, that's as good of a Q2 we've posted since 2012. It's challenging to improve margins when sales are down, so we're happy with that result. Moving down the P&L, there's not a lot of updated news from last quarter. Lower sales do not help scale fixed costs, and we are investing against the back-half of the year and 2025 a bit more than we were at this time last year. We would like to see our first-half level of margin erosion decrease in the latter-half of the year, but we will also not try to optimize against a specific metric if we think an expenditure is the right thing to do. As we have said before, we plan the business considering full-year revenues and related full-year expenditures as opposed to trying to optimize for a quarterly outcome, while also managing the current year's transactions and deploying resources to enable business in the two subsequent calendar years. Seasonality is a fact for us, which is why we value resilience and predictability of results and avoid trying to over-obsess about the short-term. With all those protestations aside, Q2 operating margin of 5.1% and adjusted EBITDA margin of 8.3% are still strong results for us. We continue to increase our internal communications around sales expectations and inventory management to improve productivity in that area. Our Q2 total inventory level of $51 million is the lowest it has been at this time of the year since 2010. Customers continue to embrace the direct import FOB business model which among other positive attributes is working capital friendly to us. Timing of sales and pace of collections leads us exiting the quarter with a bit more accounts receivable and a bit less cash than usual, but this is in line with our internal planning. We have drawn $5 million on our ABL as of quarter close, a number that we have increased to $26 million as of this week, but we anticipate that balance to be mostly if not entirely repaid by the end of Q3 as collections accelerate. This seems like an ideal place to point out that year-over-year, our interest expense at the total company level is $399,000 year-to-date versus $4.3 million in the first-half of 2023. To wrap, adjusted EBITDA for the quarter was $12.3 million or 8.3% of net sales, bringing our 12-month trailing number to $51.2 million or 7.6% of net sales. Adjusted EPS was $0.65 per diluted share, down from $1.26 last year. And now, back to Stephen.
Stephen Berman: Thank you, John. As we highlighted last quarter, certainly the two biggest pieces of new news for us in the second-half will be supporting the theatrical releases of Disney's Moana 2 in late November and Sega's Sonic the Hedgehog 3 in December. We have a broad retail support for both properties in the U.S. and internationally and look forward to a great audience reaction to both the films and our complimentary product lines. This will also bode extremely well going into 2025, as the movie should continue, and then we should get a boost from the streaming launch based on our past experiences. As I mentioned earlier, we have several additional product launches this fall, almost all of which represent very specific initiatives that with success can layer into our brick-by-brick product assortment by extension and add resilience to our evergreen business for the long term. Starting with the Simpsons, our product line will begin to appear on shelves this quarter at the largest U.S. accounts as well as some internationally. Our core toy line includes plush, multiple scales of figures, and a diorama set of the iconic living room with notable features from the show. We also have a variety of collectibles including premium figures, shelf talkers for Bart and Homer, a Moe's Prank Phone, and a large-scale Talking Krusty Doll that received an incredible amount of pre-sale interest. With a couple exclusive figures coming to Walmart later this year, our Simpsons toys represents a wide range of offerings to please fans of all ages and is a great launch to this new business this year. We also continue to move more aggressively forward with our new authentic brand businesses. This quarter, you will be able to find our Element, Quicksilver, and Roxy skateboards at Academy Sports. We have a range of 15 different boards planned to be on shelf with what we hope will be just the start of the business as we expand our product and customer-based footprint in 2025. The big initiative of the broad launch of the ABG line of products really comes into effect in spring 2025 with inflatables, skateboards, inline skates, beach and park chairs, umbrellas, and carriers, just to name a few of the items in the wide category range of products. Another new and noteworthy initiative is the launch of JAKKS newest-owned IP, Wild Manes. We are launching with toys, content, and gaming, looking to reach girls of all ages on every platform. The toy line debuts an extensive range of horses, play sets, and vehicles. We have received great reaction from both customers and consumer testings for this concept since we started showing it last year and have support all across the major customers in the U.S. with some international support as well. We have partnered with Epic Story Media to create over 300 minutes of animated content with over a dozen original songs. Those animated shorts are starting to become available now on the Wild Manes YouTube channel. In addition, our Roblox game launched in June and is steadily building an audience. We're super excited of the potential here as it's a concept within our global appeal and relevant and relatable themes that we think can sustain for years to come, and we are well underway in planning for that accordingly. In our Disney role-play business, we are building a new role play segment for Frozen, similar to what we did with Style Collection for Disney Princess. The launching in August is the new Frozen role play line, the Icy Magic Collection, which will hit shelves exclusively at Target. This line invites girls to experience the magic of Elsa via a feature-rich line of core role-play items. Additionally, as mentioned, we are all anticipating the launch of Disney's Moana 2. JAKKS is participating in a much-anticipated sequel with a full line of dolls, dress-up, and role-play toys, which will be supported with inline and out-of-aisle displays at all major global retailers. Building on the success of the Disney Tsum Tsum D100 program, JAKKS is extending our product line with Disney on Tsum Tsum with a brand-new collection this fall. In August, the first collection launches, offering collectibles across the core Disney franchises. Then in October, we will release Marvel Tsum Tsum in December, and Target will premiere the first collectible line of Star Wars Tsum Tsum launching wide in spring 2025. In fourth quarter, we will also benefit from the initial shipments of two new lines within the Disney portfolio. Disney's musical minis and Ili Tot Ili Teenies, both new and exciting collectible lines offers new ways to engage with your favorite Disney stories and caricatures; look for these on shelf in spring 2025. Moving more to dress-up and role play opportunities, I'm excited to share that we'll be supporting NBC Universal's highly anticipated tentpole film, Wicked, coming to theaters in November. Leveraging our market leadership in this space, we have an extensive line of role play dresses and accessories inspired by Glinda, Elphaba, and the entire cast of this cultural phenomenon. We have a broad retail support for this line and expansion plans for 2025, and a second film is planned for fall 2025. Although it sometimes flies under the radar, JAKKS has a long history of working with customers to create a unique private label offering to meet their needs while surprising and delighting their consumers. With that in mind, I'm delighted to share that starting this fall we're starting several new initiatives with CBS across all their doors in the U.S. We have partnered with them in developing a line of 14 and 18-inch dolls sold under the Be My Baby and Be My Bessie's brands. These are great-looking dolls and with a great value as well. In addition, we will be launching a child-sized version of the CVS 2-in-1 Roller Shopping Basket, which comes with 12 own-brand accessories. This fun and functional item is bound to be a hit. Make sure to review our presentation deck on the investor page of our website for the images of these items and some other items that I'll be mentioning throughout today. Back in our action figure and play collectible businesses, we've been pleased and surprised by the very strong reaction to our Bendy figure and Bendy Plush line earlier this year. Launching exclusively at Walmart in both the U.S. and Canada, these items were almost immediately on our top selling items list every week. With new waves of figures and Plush starting to hit shelves now, along with some additional collector items for specialty accounts, we anticipate these sales trends to continue the rest of the year and in 2025. And suffice to say that, we have a lot of exciting things happening in support of the Sonic 3 movie, but given our embargo issues around the rollout of some of that information, we're going to have to save that for the next quarter. What we can tell you about is the Tornado biplane item in our core line. This is an iconic vehicle from the Sonic video game lore. We're also introducing a new Go-Go Racing segment that highlights that Sonic is all about speed. We were excited to share both of these new releases at the San Diego Comic-Con last weekend and to tell you about them today. And Nintendo continues to be a top brand in this division. We have added new figures, a diorama set, and a new feature playset for this fall that's backed by a media campaign. We also have the new King Boo figure set that's exclusive to target this fall and is available in store now. We're also quite excited to be supporting a January 2025 film from DreamWorks Animation Dog Man based on the best-selling children's book series. I wish I could somehow share the steady and consistent reactions we saw during customer previews as people turned the corner in our showroom and exclaimed, Dog Man, upon seeing the display in the product line. The series really has been a rife of passage for many parents and their children over the past several years, and the team has developed a very endearing line to support it. I also wanted to highlight that we have a nice placement of our advent calendars available at Costco this year, anchored by the classic holiday movies that fans will be watching on TV and streaming this holiday season. The assortment includes Elf: A Christmas Story, and National Lampoon's Christmas Vacation. As is always the case, our Disguise/Costume business features an assortment of new trending products to maintain our market leadership position. We have products related to Pixar's Inside Out 2, Disney's Descendents: The Rise of Red, and Transformers One, the new animated film from that franchise and, of course, Disney's Moana 2, and Sega's Sonic The Hedgehog 3. Descendents is a perennial strong costume line for us as well. We are also supporting Dog Man as the excitement builds for January film release. We're also thrilled to announce that we've recently expanded our Pokémon costume rights into Europe. It's all a great franchise and a great part of our U.S. range, and we are excited to start shipping that product into the U.K. and EU next year. Hopefully that recap of several things we're excited about this fall gives you a sense of how strongly we feel about our business today, and why we are so enthused to be moving into the second-half of this year, and into 2025. Thanks again for your support and interest. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Eric Beder with Small Cap Consumer Research. Your line is open.
Eric Beder: Good afternoon.
Stephen Berman: Good afternoon.
John Kimble: Hey, Eric.
Eric Beder: Thank you. Congrats on managing through here and getting through a much stronger other side it seems like. A few questions here, [indiscernible] I know you mentioned Academy and the expansion possibilities beyond Academy. How do you look at that brand's ability, going forward, to offset some of the, I guess you guys have previously called it, extreme seasonality that you see in the business? And what has been the continued response to it as you're moving forward and starting to offer some of those products?
Stephen Berman: Well, thank you, Eric. Actually the ABG initiative that we're undertaking, we're extremely excited about because we undertook this deal in February, and we wanted an extremely expeditious pace in achieving the development and manufacturing of these goods. And Academy, we went really strong and early, and they were very strong within this area of business, so we launched it with them immediately. And we have done our previews. And we are extremely excited now to get into the spring 2025 because, seasonality. We are focused on leveling out revenue base and the Authentic Brands business with the Element skateboards, Roxy and Quicksilver, in addition to the Juicy and Roxy inline skates and inflatables, and the umbrellas really puts us in a really strong area of business that's countercyclical to the normal, call it, traditional toy business. So, that on top of our enhanced other seasonal business of our foot-to-floor ride-ons, our outdoor play environment; it really sets us apart of building a really strong evergreen segment of business that's not hit-driven at all. It's really focused on solid brand names and solid recognition of brands. And the retailer from more North America and, call it, Western Europe are really excited about these brands because they're long-term, very well known brands from kids, tweens, teens, adults and others. These brands have been around, some of them 20, 30, 40 years. So we're really excited about it. And we just need to be able to manufacture more and get ready for spring to get these launched. And once we get them launched, we're looking to expand it broadly.
Eric Beder: Okay. And turning to The Simpsons, I know you guys were at the San Diego Comic-Con, showing the product again to the people. What has been the response since we haven't seen a Simpsons product in, like, decades-plus.
Stephen Berman: Correct.
Eric Beder: What's the excitement level here, and how do you look upon this visibility. I think -- and you kind of mentioned a little bit on, (a), to make something like a $20 diorama, and (b), the potential to do more for maybe like the adult collector who will spend a lot more for a collectable or for an action figure?
Stephen Berman: Firstly, The Simpsons is -- you're right, it hasn't been in the market, in totality, with a breadth of product for over 15 years. So, there is a need and want for it. It's been around, I think, 35 years as an animated series. And the excitement is -- it's in the top levels of all views on this programming. The excitement is really there. We're just trying to curtail the excitement internally because Comic-Con was terrific. The retail sell-through that we currently have to date, which just recently launched in the last week or two, is extremely strong. That being said, we just don't want to overexcite something because there is a collectible market in the Simpsons and we have collectible items specifically for that market. And then, there is a kid market for it. So, there's a blend of both, and we're managing both aspects of it. Early on, reads are extremely strong. We're really happy, retailers need it. We look at this that will build into an evergreen brand like we've done with the Sonic, like we've done with Nintendo. And we're looking at it very strong. It has such wide array appeal, again, to Collector and kids. So, the initial excitement is really strong. We're just looking at it internally without trying to get overly excited to manage this brand, both collectible and to kid. And so far, the receptiveness from retail and consumers is extremely strong.
Eric Beder: I know you do most of your product FOB, but how have some of the discontinuities in supply chain affected some of your international sales? I know historically that's been a big focus for you. Are you still kind of on the track that you want to be with international even after kind of like a quarter like this? How should we think about that?
Stephen Berman: Yes. Primarily when we founded JAKKS, myself and my business partner who passed away about 15 years ago, we founded it as an FOB company. And during the big shipping crisis that happened in like '21, '22, we actually became more of an FOB company, about 70% plus. And we're going to continue that way. It's something that the retailers like, and we like it as well as the business. The capital expenditures of bringing inventory in is less than by doing it on a FOB basis. What occurred internationally, more so in Europe, was our new logistics centers that we opened up in Italy and we're opening one in Spain. We just had a difficult time of getting these containers in during -- there was some lack of containers that were able to get it during the quarter. Those have all been resolved, so it just was more of trying to do something on an expeditious process, a platform, and we just did get it done as quick as we thought. All those things have been resolved. They weren't material, but they were enough that we had to call it out. But overall, our business FOB bookings are extremely strong, where we stand this year versus last year. And we're going to continue on that FOB platform, but we also will be bringing in domestic on areas of businesses such as Simpsons, or whether it's authentic brands, or Moana 2, or Sonic, or Nintendo. We bring in inventory where needed, but we will never chase something and bring in too much inventory in case something doesn't work. We'll always be leaner on inventory than the norm in our industry.
Eric Beder: Okay. Final question; last quarter, you paid off the preferred. I know you did it so close to the end of the quarter, you really didn't want to talk about capital allocation and potential now, maybe to return some capital to shareholders. It's been about three months. What's kind of the thought process? How is that evolving now that you are basically debt-free for the first time in a very long time?
Stephen Berman: For JAKKS, I'm very proud of the overall company's employees of being diligent and being able to pay off from the recap that we did around 2018. We paid off all of our debt and our preferred and couldn't be more happy, especially going into an unknown environment and going into a presidential race, to be clean of debt and know that we could run our business based off our free cash flow. That being said, we are being prudent. There's a lot of other opportunities that we need to look at for capital allocation. We've been having internal meetings with our board and we are looking for the future. There's many different ways of capital allocations, from dividends to buybacks to acquisitions, and we are now looking at certain opportunities. We see there's been several different bankruptcies in our industry that allows us to have other opportunities, whether buying assets from these unfortunate events or getting licenses that licensors don't want to work with companies that they're worried about financially. So, we're looking at the various opportunities that are in front of us today and kind of looking at what the future holds, going into 2025 and 2026. So, it's something on our priority list, but we don't have any confirmation of the direction that we're going to go, but it's something that we've been looking at internally. We just paid down the debt again. It hasn't been that long, so we can't do things just on an immediate basis without looking at liquidity analysis, future benefits to the company, retailer expansions, international expansions, a lot of different avenues that we're looking at, but again, it's something that's a priority to us and we will be reviewing through the share.
Eric Beder: Okay. Again, good luck for the back-half of the year.
Stephen Berman: Okay. Thank you, Eric.
John Kimble: Thanks, Eric.
Operator: [Operator Instructions] I'm not showing any further questions. So, I would like to turn the call back to Steven for any closing remarks.
Stephen Berman: Great. Thank you, operator, and you have done a terrific job on the call. We are looking forward to our bunch of our follow-up calls today with investor and analysts today and tomorrow. And thank you everyone for the call, and we're excited to get into our third quarter and start our call again, and right after we are excited for the second-half of this year, and really excited for 2025. Thank you all.
Operator: Ladies and gentlemen, that concludes today's presentation. You may now disconnect, and have a wonderful day.